Operator: Greetings, and welcome to the XPEL Inc. Fourth Quarter and Year End 2020 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce John Nesbett with IMS Investor Relations. Thank you. You may begin.
John Nesbett: Good morning. Thank you for joining us. On the call today we have Ryan Pape, XPEL's President and Chief Executive Officer; and Barry Wood, XPEL's Chief Financial Officer, who will provide an overview of the business operations and review the company's financial results. Immediately, after their prepared remarks, we will take questions from our call participants. Let me take a moment to read the Safe Harbor statement. During the course of this call, we'll make certain forward-looking statements regarding XPEL Inc. and its business which may include, but not be limited to anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company's growth strategy. Often, but not always, forward-looking statements can be identified by the use of words, such as plans as expected, expects, scheduled intends, contemplates, anticipates, believes, proposes or variations including negative variations of such words and phrases or state that certain actions, events or results may, could, would, might or will be taken occur or be achieved. Such statements are based on the current expectations of the management of XPEL. Forward-looking events and circumstances discussed in this call may not occur by certain specified dates or at all and could differ materially as results of known and unknown risk factors and uncertainties affecting the company performance and acceptance of the company's products, economic factors, competition, the equity markets generally and many other factors beyond the control of XPEL. Although XPEL's attempted to identify important factors that could cause actual actions events or results to differ materially from those described in forward-looking statements, there may be other factors that cause actions, events or results to differ from those anticipated, estimated or intended. No forward-looking statement can be guaranteed. Except as required by applicable securities laws, forward-looking statements speak only as of the date of which they are made and XPEL undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. Okay. With that, I'd now turn the call over to Ryan. Go ahead, Ryan.
Ryan Pape: Thanks, John and good morning everyone. Welcome to our year end 2020 call. We closed out the year with another record revenue quarter reflecting strong top and bottom line performance. Momentum we saw in Q3 continued into Q4 with revenues growing 23.1% to 48.6 million which was a really solid quarter and given the COVID headwinds, we saw early in the year I was really pleased with how we finished the year with revenue of 158.9 million growing 22.3% compared to 2019 especially as we saw some COVID related lockdowns reinstated at the end of 2020 in some of the markets. Looking at the regions. Our U.S. region continued its second half momentum with solid 36% growth in Q4 after posting 40% growth in Q3 sequentially revenue is down slightly from Q3 but all in all was a great quarter. As you know new car sales were relatively strong second half of 2020 in the U.S. certainly a benefit to us. China closed out the year strong with an $11.4 million quarter. This was down a little over 15% compared to the fourth quarter of 2019 but considering the timing of shipments as we've been discussing and the relative performance of China in 2019. This is really better than we initially expected. Sequentially Q4 was up 21% versus Q3 and represented the highest quarter for the year. China auto market has been performing well and we're up to a great start in China for 2021. In Canada revenue was up 32.6% in Q4 which again was a great result. Our Protect Center acquisition from February of last year continues to outperform our expectations and it really highlights our strategy in the channel where our installation related acquisitions serve to grow our product sales in the markets where they operate. Parts of Canada re-entered lockdown the last week of the year given that I was really pleased with the Canadian results. Continental Europe continued to outperform with revenue growing 64.8% after posting incredible 88% growth in the third quarter and as we've seen in recent quarters is being driven both by our aftermarket and OEM segments in Europe. Our UK business another great quarter going 58% even more impressive considering our team posted those results while COVID lockdowns were being reinstated in the UK. So another great job. In Asia-Pacific we had a record quarter in Q4 with a little over 49% growth. Our Latin America region grew a little over 48%. Team in Mexico continues to do a great job. We also had a record quarter in the Middle East in Q4 where we've seen some nice momentum in the second half of the year. So, it's really great to see good results in all three of these regions because they're still small they have a lot of growth opportunity as we run our channel strategy to drive market development. And as we mentioned previously we're building a team to manage our Latin America business based in Mexico and this will be a significant driver for 2021 and on for that region. From a product line standpoint, we saw continued growth in our window film segment with revenue growing over 96%. Sequentially our window form revenue was down about 11% compared to Q3, which was a record quarter but strong performance given the time of year. Seasonality there is a bit more seasonality to window film than paint protection products. Our vision sales grew over 60% compared to Q4, 2019 continue to be pleased with our progress there and as you may have seen in the fourth quarter we acquired Veloce Innovation a brand of architectural window film this is another catalyst for this line of business to bring focus and dedicate more folks to the product line. We have earned outs as part of that acquisition that will align interest to ramp the architectural window film business. Our local teams will still be responsible for these products as they are the automotive products in their region but are being backed up by a more specialized team to give them the confidence to sell and grow that product line. Our FUSION product line continues to make great progress. A good quarter in Q4 revenues grew 70% compared to Q4 prior year. On the gross margin front 2020 gross margin closed at 34% which is up slightly from 2019. Our Q4 gross margin ended at 32.8% versus 31.5% in Q4 of the prior year. As we mentioned in the past our gross margin is dependent on our direct versus distribution sales mix particularly our China distribution. We typically see gross margins fluctuate in the range of 32% to 35% from quarter-to-quarter depending on that mix. We're working on an initiative that will allow us to break out of that typical 32% to 35% range and we should be able to start seeing results the second half of this year early next year on the gross margin side. Our Q4 EBITDA grew 45.3% and our 2020 EBITDA grew 34.9%. Q4 net income grew 31.8% and our 2020 net income was 30.6%. So clearly strong operating leverage there and as we've said in the past looking at our overarching financial objectives obviously we want to grow revenue meaningfully, drive gross margin as I just mentioned and we're still targeting SG&A at around 18% of revenue and if we're able to do that we can drive tremendous leverage in the business and we were able to do that this year for sure. The momentum we saw in Q4 has carried over into 2021. China revenue will be very strong in Q1 which is the weakest quarter for China revenue due to Chinese New Year and other seasonal reasons. As you will recall China was significantly impacted by COVID last year and as a result we have a bit of an easy comp in Q1 but even excluding the COVID impact China has been doing great. As such we expect our overall 2021 Q1 revenue growth to be in excess of 60% year-over-year which will be a great result in our seasonally slowest quarter. A couple other things I want to mention before I turn the call over to Barry. We're expanding our facilities in San Antonio to offer more distribution and production space for new products as well as a brand new world-class training center. Our training program continues to be a key part of our business and this new facility will allow for more classes as we've been increasing the size of our training staff in recent months. Also we closed the year out with about 22 million in inventory and we're targeting increasing that another 3 million to 4 million going into Q2. As we mentioned on our last call we're increasing our inventory levels to mitigate various risks we identified after reflecting on what could have happened during the initial days of COVID-19. While we're consuming working capital to do so we'll ultimately benefit in reductions in non-product COGSS costs and SG&A where more inventory lowers logistics costs. So another win on that side. Another exciting announcement we made earlier this month is will be the title sponsor of Texas Motor Speedway Second Race of the Indy Car Series Double Header which will be named the Xpel 375 scheduled for May 2nd. This includes a multi-year sponsorship at Texas Motor Speedway. It's a great opportunity for more brand exposure and is a nice complement to our existing Indy Car relationship with team Penske. Texas is a great market for us and includes the largest portion of our U.S. installation business. So we're excited to sponsor such a prominent event in the state and finally we're really active on the acquisition front primarily around domestic and international channel strategy that we talk about but also including product expansion and application of our existing products and other verticals. We're seeing some great things that are highly strategic to us. It's our expectation that we'll be able to close more acquisitions this year in dollar terms than we've done cumulatively in our history. So the team is very focused on that. Obviously, a great year for us. I couldn't be more proud of our team. Their constant focus on the customer in what was initially a very challenging year both in the early days of COVID and then in the recovery when things ramped up. So really humbled by everyone's dedication and performance and look forward to a great 2021. With that we'll turn the call over to Barry and then take some questions. Barry go ahead. 
Barry Wood: Thanks Ryan and good morning everyone. Obviously it was a great quarter for us from a revenue standpoint. Q4 revenue grew 23.1% to a record 48.6 million while our 2020 revenue overall grew 22.3% to 158.9 million. Our growth for the first half of the year was 17.1% compared to the first half of 2019 while our growth for the second half of the year was 26.1% which I think demonstrates the impact of COVID and the subsequent back half momentum that we saw. Product revenue grew 21.4% for the year to 136.3 million and Q4 product revenue grew 20.4% to 42 million, which was a record quarter for product revenue and in the product revenue category paint protection film grew 13.8% for the year to 110.8 million and Q4 paint protection film revenue grew 11.5%, 34.8 million, which was a record quarter there as well. Paint protection film growth was impacted by the China weakness in Q1 and the lower Q4 China comp. Also when we do acquisitions of isolation businesses like Protect Center the product we previously sold to them when they were our customer comes out of product revenue and goes into service revenue. So that certainly had an impact on that line as well. Our window film product line performance was really amazing this year. Window film revenue for the year grew 84% to 21 million representing 13.2% of total revenue. In Q4 window film revenue grew 96.1% to 5.6 million and represented 11.5% of revenue and this line item includes our vision architectural window film which as Ryan alluded to earlier had great growth this year. Our vision sales are not big enough to break out yet so the majority of our window film growth is really from the automotive segment. Total service revenue for the year grew 27.8% to 22.7 million while our Q4 service revenue grew 43.6% to 6.6 million and in this category software revenue grew 6.9% to 3.5 million for the year and Q4 software revenue grew 6.1% to 0.9 million. Our cut bank credit revenue for the year grew 7.3% to 7.8 million and for Q4 cut bank revenue grew 27.7% to 2.3 million. Installation labor revenue which is the revenue from our labor component of our installation, total installation revenue for our company owned insulation facilities grew 65%, 10.9 million for the year and grew 77.2% to 3.2 million in Q4 and also note here that our overall installation revenue grew 65% for the year and 77.2% Q4 and if you exclude the acquisition impacts the install revenue grew 32.3% for the year and 44% for the quarter. So clearly good performance from our installation business particularly in Q4 which is a nice surrogate for what our customers are seeing. Ryan talked through the gross margin. So I really don't have much to add there but I do think our 2020 SG&A performance was another bright spot for us. Obviously the pandemic contributed some SG&A help particularly in our marketing and travel related costs. Our 2020 SG&A expenses grew 16% versus 2019 and represented 19.3% of total revenue. In Q4 our SG&A expenses grew 15.3% versus Q4 2019 and represented 17.7% of revenue. Sales and marketing expenses for the year grew 28.5% to 9.7 million and Q4 sales and marketing expenses grew 30.4% to 2.8 million and this Q4 growth was mainly attributable to the resumption of some marketing activities and increases in sales related expenses to support the increased revenue growth. This line item began to normalize a bit in Q4 and we anticipate an increasing trend as we move into 2021. 2020 general administrative expenses grew 11% to 20.9 million and Q4 general administrative expenses grew 9.3% to 5.9 million. So all in all I think we did a nice job holding the line on our G&A costs. Obviously we'll continue to see increases here such as increased costs from our new facilities but overall and all is a good result here. Our effective income tax rate was 19.8% percent for the year and 17.4% for Q4 and similar to Q4 last year we did have some return to provision true ups were not near as substantial as what they were last year but we did have them again this year. We expect our future effective tax rate to be around 21% going forward. 2020 EBITDA grew 34.9% to 25.3 million and our EBITDA margin finished at 15.9% which was up from 14.4% in 2019. Q4 2020 EBITDA grew 45.3% to 8.1 million with EBITDA margin of 16.6% reflecting another strong operating leverage quarter for us. 2020 net income grew 30.6% to 18.3 million reflecting net income margin of 11.5%. Q4 2020 net income grew 31.8% to 6.1 million reflecting net income margin of 12.5% and EPS was $0.66 per share for the year and $0.22 per share for the quarter. 2020 cash flow from ops grew 68.4% to 18.5 million and we ended the year with 29 million of cash on the balance sheet and again as Ryan mentioned we're active on the acquisition strategy and we expect to use most all of our cash for that purpose. And finally, subsequent to our 10-K filing this morning we filed a shelf registration statement. Based on our market cap we reached well-known seasoned issuer or Wixie Status being a Wixie affords us to put up a general shelf registration that is automatically effective as you likely know this is a very common practice by companies with Wixie Status and we did this simply to maximize our optionality to raise capital in a very quick and efficient way should the need ever arise. And we do not have any a current need to raise capital nor do we have plans to do so in the near term future. So 2020 was another great year for us and we're looking forward to continuing to execute in 2021 and with that operator we'll now open the call up for questions.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Our first questions come from the line of Jeff Van Sinderen with B. Riley. Please proceed with your questions.
Jeff Van Sinderen: Good morning everyone and congratulations on the strong metrics for 2020. Any more color you can give us on adding new accounts either independent install shops or car dealers? And I guess how should we think about gaining penetration within existing accounts versus adding new accounts?
Ryan Pape: Sure. Thanks Jeff. Yes. I think the way that we think about it is really twofold and the trend has played out this way over a number of years which is there is a healthy mix of new accounts both in the aftermarket and from a dealership standpoint and growth from existing customers. It's hard to characterize how our existing customers grow because their businesses, the size of their businesses, their business models are so varied but what's been consistent is that we will always have both. There is always a need for more customers in the channel and that's part of growing the channel and then there's always growth at varying rates from our existing customer base and what we strive to do is to balance the two of those the most appropriately in every market. It serves no one's interest for us to over saturate a market with new dealers but at the same time as a market grows there's a need for new dealers. So our team does a great job doing that but it's going to be a mix really I think forever in our future a mix of growth from existing and growth from new accounts but certainly Q4 was no exception. We added a lot of new customers in the aftermarket and new car dealerships at a good rate. 
Jeff Van Sinderen: Okay. Good. And then did you say 60% revenue growth is what you're expecting in Q1? I guess how should we think about that? 
Ryan Pape: Yes. That's correct. We're expecting 60% revenue growth maybe a hair above that based on the current run rate and that's really a function of just a fantastic start to the year really in all of our regions and then a relatively easy comp due to the impacts in Q1 last year with China, with the early COVID and then to a lesser extent a bit of a muted end to March last year but yes 60% is what we're looking for Q1.
Jeff Van Sinderen: Okay. Great. And then I think you mentioned initiatives to stabilize gross margin and I believe you spoke to some point in second half of this year. Can you just elaborate on that a bit?
Ryan Pape: Yes. So as you look at kind of our the overall gross margin profile we kind of trade between a 32% and 35% range if you go back over the past you'll call it six quarters and the main driver within that range is our distribution business where we're accepting a lower margin to sell to our distributors. China being the largest example of that. So in quarters where our China percent of sales is larger the gross margin is less but you've seen us kind of max out at 35, 35.5 and with what we're working on really as it impacts every aspect of cost of goods we're expecting that as we get to the second half of this year that will start to be beyond that 35, 35.5 cap that we've had. So if we could start getting 36, 36.5, up to 37 over time there's still going to be a range depending on the distribution mix in China or not but rather than that be a 32 to 35 range maybe that's up at 34 to 36 and we try and drive it higher from starting second half of the year.
Jeff Van Sinderen: Okay. That's helpful and if I could just squeeze in one more anything more to talk about in terms of the outlook for the EU segment this year what initiatives you're working on for EU.
Ryan Pape: No. I mean it's really a business as usual for us there in terms of what we know we need to do. The attachment rate and penetration of these products varies significantly country to country if you look at any sort of attachment or penetration metric by country even within the EU and they're just the distribution is huge. So we have a lot of work to do in a lot of countries with very low attach rate, very low sales and then continue to grow in all the other countries. So we're feeling really good about what's happening in Europe and really how it's performed during COVID and so for us it's continued to invest, put more people in more countries, get closer to the customer, perhaps look at other distribution acquisitions in region like we did in France last year but really just to run that strategy and continue to develop the market.
Jeff Van Sinderen: Okay. Thanks and best of luck for a first half. 
Operator: Thank you. [Operator Instructions] Our next questions come from the line of Steve Dyer with Craig-Hallum. Please proceed with your questions. 
Steve Dyer: Thanks. Good morning guys. Nice quarter. Nice outlook. Ryan just kind of circling back to your commentary on gross margin which was really helpful. It sounds like that's more of a second half positive impact. So given that in the first quarter should we expect to sort of be on the lower end of that range given the strength in China? 
Ryan Pape: Yes. I would expect that Steve. We're going to have a really good number for China in Q1 so when you look at the range that we trade in that'll bring us to the lower end of that for Q1 for sure.
Steve Dyer: Got it and then a lot of good commentary around M&A just curious kind of further there I guess is there anything large and meaningful in the pipeline or should we just expect sort of more volume of deals more of the same of what you've been doing just more of them?
Ryan Pape: Yes. I would say both. Certainly I think that the quantity will increase but also with what we have in the pipeline I think the average size is increasing from where we've been in terms of incremental revenue or deal size and then really the top end of what would the larger type acquisitions be that's going to be quite a bit higher than we've ever seen before at least in terms of what we're seeing. So I think we'll see the complexion of those deals change a little bit but really not the strategy. The strategy is going to be very consistent with what we've seen in the past.
Steve Dyer: And I mean we should expect sort of a mix. It sounds like of sort of the one-off installers’ sort of market share grab, channel grab and it sounds like maybe more or something significant laterally in terms of other products to put through.
Ryan Pape: Yes. We're looking at both. As we've said with the product line expansion that we've done over the past two years we're certainly not short on products to take to market and we have a lot of work to do with the products that we have but at the same time there's some other interesting products that we think are a long-term mix that we're looking at. So there's a component there and then the bread and butter really around channel go to market domestic and international to just execute on our get close to the customer strategy and use that to drive adoption and penetration in all the markets of the world where we can.
Steve Dyer: Got it. And then just a quick modeling question for me. Obviously very strong commentary around Q1. Would you expect sort of normal seasonality then for the remainder of the year i.e. you sort of build on Q1 or are you anticipating there's something abnormal or pent up demand or something that may not make -- be able to grow on that?
Ryan Pape: Yes. No. I don't see anything exceptional about Q1 aside from just the strength exiting last year and then the relatively easy comp. There is no one timer even the strong performance we see in China again we track this carefully now and we're not building inventory in China nor are we expecting to the underlying dynamic and Seltzer's been really strong.nothing unusual about Q1 from that standpoint.
Steve Dyer: Got it. Okay. I'll jump back in queue. Congratulations guys. Thanks. 
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to management for any closing remarks. 
John Nesbett: Yes. Thanks everybody. Really appreciate your time and look forward to speaking with you next quarter.
Operator: Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.